Operator: Ladies and gentlemen, thank you for standing-by and welcome to the Altius Minerals Corp. Q3 2019 Financial Results Call. At this time all participants are in a listen-only mode. After the speaker's presentation, there'll be a question-and-answer session. [Operator Instructions] I would now like to hand your conference over to your speaker today, Flora Wood, Director of Investor Relations. Please go ahead Madam.
Flora Wood: Thank you, Marcella. Good morning, everyone, and welcome to our Q3 conference call. Our press release and quarterly filings were done yesterday after the close and are available on our website, you'll also see on the homepage a letter to shareholders. We are webcasting this event live and you'll be able to access the replay of the call, along with the presentation slides on the webcast and on our website at www.altiusminerals.com. In the room this morning, we've got Brian Dalton, CEO; and Ben Lewis, CFO. Who will both be speakers on the call and active in the Q&A session following. Getting started the forward-looking statement is on Slide 2. It applies to everything we say both in our remarks and during the Q&A. And with that I'll turn over to Ben to take us through the numbers.
Ben Lewis: Thank you, Flora, and good morning, everyone. Our quarterly revenue of $19.2 million or $0.45 per share compares to the $19.5 million or $0.46 per share in Q2. On a nine-month basis, revenue was up 23% from $49.4 million to $60.6 million. Or in per share numbers a $1.14 to $1.42 per share. This once again demonstrates the benefits of holding a diversified royalty portfolio. As well Base metals prices are down on a year to-date basis. This was offset by higher potash prices and volumes. Iron ore revenue was also up strongly as a result of higher Iron ore prices and a larger share position in Labrador Iron Ore Royalty Corporation or LIORC, which has also resumed adherence to a more fulsome dividend payout policy. Adjusted EBITDA up to $15.2 million or $0.36 per share compares to $16.3 million or $0.38 per share in Q2. EBITDA margins fluctuate with the relative weighting of Chapada sales, which comes with a 30% cost of sales to purchase copper under the streaming agreement with Lundin Mining. In the third quarter, Chapada’s contribution was much larger than the previous quarter on the timing of some Q2 production settling in the third quarter. On a nine month basis, the EBITDA margin is 81% compared to 80% last year. G&A for the current quarter of $2.2 million is up slightly from Q2 and a year-ago period, both of which were $1.9 million. This reflects the fact that we've added the renewable energy royalty team to the Altius group starting early in the current fiscal year. Altius renewables G&A is around 400,000 per quarter, which means that accepting for this growth initiative, G&A costs across the rest of the traditional business have come down. As we will speak to later, we expect the renewables business to become self sustaining very soon as the business is growing faster than expected. We also make the point in our MD&A this quarter that our project generation or PG of the business represents about a third of our G&A expenses. But to clearly evaluate PG business, you have to factor in the cash proceeds from the sales of equities and their associated gains, which do not go through the income statement as revenue. These gains go through the statement of comprehensive income. So far this year, realized gains from the equity portfolio of the PG business stand at $10.8 million on net proceeds of $16.2 million. Net and adjusted earnings were $0.10 per share in the current quarter. This compares to adjusted earnings per share of $0.15 last quarter. Net earnings this quarter we're impacted by higher coal depreciation charges and a higher tax expense than in the prior quarter, which reflected a tax recovery as a result of a change in rates in Alberta. We ended the quarter with $32 million in cash and cash equivalents. $145.5 billion in market value of mining and other investments comprised of the remaining junior equity portfolio holdings and the Labrador Iron Ore Royalty Corporation shares. You can find our project generation portfolio listing on our website. Uses of cash in the quarter were primarily debt repayment, common share dividends and preferred security distributions of $2.1 million and $1.3 million respectively and $1.8 million invested under our normal course issuer bid to repurchase and cancel 154,200 shares. Since the quarter-end, we've repurchased and canceled roughly another 100,000 shares. Total debt at quarter-end was $115 million, which has come down steadily since the beginning of the year. As we used $11 million in free cash flow to make a voluntary debt repayment in addition to our scheduled $20 million per year in term debt repayments. We've also invested free cash flow to initiate our renewable energy royalties business. As many of you know in the first quarter this year we acquired a private company that has become our four person obvious renewables royalty team and they are making great progress. Our first major renewable royalty has been created with more insight and we continue to advance negotiations to partner with additional developers and operators. Our objective of replacing thermal coal revenues with renewable royalty revenues is well underway and in fact now starting to look like a minimum realizable objective. Those are my opening comments and I'll be happy to take questions later. I'll now turn it over to Brian.
Brian Dalton: Thank you, Ben. And thank you all for joining us this morning. Today for my remarks, I'm going to take a different tech than usual, by ignoring the minutiae of the quarter-over-quarter stocks in favor of discussing where I think we are in the bigger, longer-term picture. A little forest through the tree to adopt the cliché, this is not to suggest there is anything in our quarter that I want to avoid. Quite the contrary and as Ben described, it was an excellent one in which the diversity of our assets and commodity mix kept us on our steady course. It is instead to say that there is little we can do to manage quarterly royalty fluctuations, but everything to do in managing the business over longer timeframes that kept our full commodity cycles and even generations. To set this up properly, let's first look back. During the past mining up cycle from say 2002 to 2011, Altius made a lot of money through its PG or exploration business. And it decided that we'll use it to build a complimentary diversified mining royalty business. When commodity prices eventually collapsed through the mid-2010s, we put the money to work and bought 15 paying mine royalties. Our revenues have since grown by more than 20 times from a few million should be well over $70 million this year. This was largely just a matter of letting the cycle work for us in terms of its irrationally discounting asset values for a window of time. And of being long cash and liquidity when it happened, while all other competing capital sources evaporated. We believed and continue to believe that the mining sector while often regarded as a zero-sum game is actually ideal for contrarians’ cyclical investment. There was more to the strategies than just being countercyclical however, and this is the part that goes to the long-term positioning that I want to focus us on today. When buying or creating royalties, there are two key criteria we look for. The first is an inordinately large underlying resources because there's probably no better predictor of a future brownfield capacity expansion or life extension at a mine than this factor. For a royalty holder with no share of capital investment but full benefit to accrual. This is about the best thing that can happen to you. This is what can make royalty investing a free growth annuity type proposition rather than just serving as a proxy for commodity price swings are continuously having to replace expiring assets. The second is strong implied margin curve positioning relative to sector competitors. The importance here is obvious when a gloomy commodity price environment exists because the worst thing that can happen to a royalty holder is that the underlying mine shuts down. As top line royalty holders, we can't lose money alongside an operator, but we can go to zero. Strong relative margins mitigate this risk, and also serve as the second best predictor of future brownfields investments at a mine. Taking us back to that best thing that can happen to a royalty holder. Through the table in our letter to shareholders and our presentation today that shows how we are feeling the benefits of our strategy already. On average, our assets have an estimated combined revenue history and analysts consensus net present value that is almost one and a half times higher than the original purchase price, where most of these acquired within the past five years. This positive differential is even after factoring the still uncompensated government expropriation of the tail end of our coal royalty life at Genesee, related to which its lawsuit is underway. Excluding coal, the difference relative to purchase price is 1.9 times, the most dramatic example of the long-term strategy working the plan is not surprisingly related to our potash royalties. We try the best assets in the portfolio in terms of the combination of remaining resource life and operating margin. On a typical quarterly call, I talk about the rain in North American spring and how it hurt planting and potash consumption and how agricultural inventories will need to be replenished next year and cause extra consumption. But this quarter, I simply want to point out that this is actually pretty irrelevant stuff. Potash consumption trends are going up in accordance with population growth and resulting requirements for increased farming intensity. Our operators in Saskatchewan are ramping up production volumes after pre-investing $9 billion in expansions from their ultra-long life best in the world mines. This is translating into higher royalties and value accretion for Altius shareholders for no incremental cost. The operators are also already looking out and talking about the next possible phase of growth investments. We therefore expect the long-term term trend of these royalties steadily growing in value, irrespective of droughts, floods, and countless other gyrations along the way, continuing for generations to come. It doesn't stop with potash either. Vale is currently spending $1.7 billion to build a new mine at Voisey’s Bay and there will almost certainly be other mines built there in the future. Our royalty lands cover the entire district. Chapada total resources have grown steadily since we bought in early 2016. And now Lundin mining has entered with a clearly stated objective of future growth and expansion and the balance sheet with which to do it. We believe from the outset that Chapada represents an entire mining district rather than just a mine. And so we are looking forward with great anticipation to Lundin unlocking its full potential. Our stream agreement once again encompasses the entire district. Gunnison assumes that to deliver first copper production and to ramp up our 777 Mines down. This one is particularly gratifying because it will mark the first paying royalty to come from our project generation business and it will do so with an effective negative cost base after considering equity capital gains associated with the operator. I firmly believe that in 10 or 20 years when we look back on 2019, there won't be heavy spring rains or Trump picking a pre-election trade fight with China, that we will recount this having mattered much, if at all. What we will remember is that with the time when climate change concerns went mainstream and that's the world decided to decarbonize ground transportation and power generation, all with firm capitalist rationale backing it. In hindsight, it will be seen as the dawn of the renewable energy generation and electrification era and will be cited at the point at which demand for all of the metals required for these prepared for takeoff. From an Altius perspective the look back will reflect on how many of it seedlings have taken root in alignment with these trends. I touched on thermal coal earlier and how it stands as the one acquisition category. That is not appreciated for us. There is of course the possibility of the lawsuit making us old, but there's also another far more proactive course being set to solve this challenge. Our initiative to reinvest the remainder of our phasing out coal royalty revenues into the royalty financing of renewable energy projects, they're moving faster and with more apparent runway than expected. Our first large scale renewable energy royalty was created a few weeks ago when the 360 megawatt Canyon Wind project was sold by our partner, Tri Global Energy onto a developer operator. We'll remember that 2019 milestone for sure. With several other agreements in various stages of negotiation, we are also beginning to consider whether the scale of the opportunity combined with some other costs of capital arguments make this business better suited to be spun out as the first utility scale pure-play renewable energy royalty company. More on this in future reports for sure and we welcome shareholder feedback in the meantime. Well, that's enough for me. Happy now to take questions regarding either the forest or the trees. Thank you.
Operator: [Operator Instructions] Your first question comes from the line of Craig Hutchison from TD Bank. Your line is open. 
Craig Hutchison: Good morning, guys. Thanks for taking my call.
Brian Dalton: Thanks Craig.
Craig Hutchison: You mentioned, obviously you've got the sale of the Canyon Wind project this quarter. Can you just give us a sense of the timing when you guys received first kind of payment from that project and maybe just kind of like a kind of the scale in terms of the revenue you're looking for that project? I assume that somewhere in the range of about $1 million, but let's get some clarity on that.
Brian Dalton: I don't know if I have all those numbers right in front of me, but the stage that the project is at right now is that the new buyer is completing the project finance package for it. That should be done in the first quarter. And these – typically then would have somewhere between as little as 12, as much as 24 month construction timeframe. So certainly within two years the first of the revenues from that will come in and then there's other projects that look like they're going to sell right behind it. So once it starts, it should be a steady flow. From that in particular Ben, you've got to guess at what the revenue for 360 megawatts generates?
Ben Lewis: My guess and I can check it is about US$1 million per year.
Craig Hutchison: And then – just in terms of the spin out of the renewable business you guys mentioned earlier, just curious to know what kind of scale you guys feel like you need to get to in terms of either revenue or kind of projects contracted to really start to think more seriously about that?
Brian Dalton: Yes. Again, when this objective began, the idea was to try to replace the coal royalty revenue, which was roughly whatever, $12 million, $13 million a year. So in real rough numbers that’s the kinds of returns we're looking at now, we felt that we would be over the fullness of time, trying to invest somewhere in the $100 million range to meet that objective. And as we kind of alluded to, we think that that number can be much larger, but it's also the crossover number in my mind that after which we – if we hit that threshold that this is probably better suited to be its own business. So think in terms of around $100 million invested.
Craig Hutchison: Okay.
Brian Dalton: And saying that, becomes too big really, I think to be just a portfolio component of all these.
Craig Hutchison: Are you guys starting to see international opportunities outside of the U.S. at this point in that business?
Brian Dalton: We're certainly looking at the rest of the world, but I mean we're very focused on using the U.S. as the primary testing ground for creating a renewable royalty. This is not an entity or structure that existed 18 months ago in the world. So we're working with the operators and we're really just trying to fine tune and make sure this really works for us, for the counter parties. And also we note that the U.S. market for renewables is probably the most sophisticated in the world. So we could make it work there. We believe we can then start to take it out to other places. I am taking going over with some of the team, we're going to go on a Fairfax sponsored trip to India early in the New Year. And that is very specifically trying to understand the jurisdiction and also at least get a first look at what kinds of opportunities might exist there. So, yes, broadly speaking, I think this is an international opportunity. Renewable energy is not a U.S. phenomenon. It's truly global. And so we're looking that far out, but we want to get us that the offering very right in the most sophisticated market that exists for financing these things. We’ll start there and then we'll worry about the next steps.
Craig Hutchison: All right. Thanks guys. Thanks for taking my call and great to see the additional color in the shareholders letter today.
Brian Dalton: Thank you.
Operator: Your next question comes from the line of Jacques Wortman from Laurentian Bank. Your line is open.
Jacques Wortman: Hi, good morning guys. Good quarter. Could you just speak to or guide towards what you think the thermal coal profile might look like over the next 10 years? I know that Cardinal River has got one more year. I guess 2020. But what do the rest of the mines look like? Do they trend lower over time or should we expect them to kind of sustain the production levels we've seen in the past? I'm just trying to get a better sense of how this kind of tales out?
Brian Dalton: Yes, there are – when we bought those originally there was a schedule for their closure. It was a regulatory based schedule that was really a look outwards from the original commissioning dates. So with the exception of Genesee, all of the other coal royalties were scheduled to wind down through these decades. Do you have the numbers on the top of your head, Ben, I'm like which years the actual other non-Genesee royalties close at?
Ben Lewis: Yes. Well, Genesee obviously is the 2030 now. Sheerness based on the current mine plan that we have was 2025. And there was upside, but we were not making any assumptions on that because one of the power plants could technically stay running until 2030. Paintearth tapers off as fairly small and Highvale is a very – we're a very small piece of a very large operation, so it's difficult to tell on that one. But it's relatively small. I don’t know that helps Jacques but…
Jacques Wortman: It helps in terms of the timeline, I just want to get a sense, do you think those production levels as they have been, will be sustainable to the end of the mine life or do they kind of taper down?
Brian Dalton: Well, that's a really hard one to call. I mean, notionally the idea is – there's really not much of a ramp down. It would be kind of an event, but some of these plants are also building in the optionality to burn gas instead of coal. So depending on when those investments are made and what the relative fuel costs looks like. We could start to see some pressure from competing gas being burnt rather than coal in some of these plants.  The messaging we're getting out of the operators right now is it’s hard to read through, the only thing that seems clear is that they're fairly adamant about maintaining the optionality to use, whichever you will type at the time, as long as they're allowed from a regulatory point of view. They just want to have that optionality. And I think it is telling though that even at current, very depressed coal gas prices, coal is still cheaper. Again, I can't tell you the answer. We don't have a schedule and I don't even think the operators know the answer to that. So we're going with the hard cutoffs and we're not sitting on our hands with the renewable and renewable investments either. We're pre-investing there to be ready, ready for that. We'd certainly expect to have that ramped up faster than any anticipated other ramp downs.
Jacques Wortman: Okay. Thanks Brian for the commentary. Appreciate it as always.
Operator: Your next question comes from the line of Zack Martin from Retail Investors. Your line is open.
Zack Martin: Good morning. Thank you for the update letter as well. I just was wondering if you guys could add any color or talk about if there's any interest in any of the nickel exploration projects Altius currently has in their portfolio.
Brian Dalton: Yes, for sure. A great pickup actually. So at the end of the 2016 when the market bottom hit, we had built up a really big project inventory. And we had set an objective for ourselves to deal out that portfolio is early in the up-cycle as we possibly could to give these stories as much a gestation time if you will through the cycle of the head. The one exception that we took there was that we essentially held back on the portfolio of nickel projects and assets. That condition of waiting is over for us. So that's actually a really active fall in the PG group now. There are several parallel lines of discussion underway about seeing that portfolio basically get converted out into equity and royalty. So can't give you an exact timeline but very active file. That's the next big objective in PG, get the nickel portfolio marketing for us.
Zack Martin: Great. Excellent. Thank you for the update.
Brian Dalton: Thank you.
Operator: Your next question comes from the line of Carey MacRury from Canaccord Genuity. Your line is open.
Carey MacRury: Hi, good morning, guys. Just had a question on the renewables, you talk about, obviously the opportunity could be bigger than you originally anticipated and you've got some discussions there. I'm just wondering is that something that you think you can add to this year or is that little further out?
Brian Dalton: This year.
Carey MacRury: Okay, that's great. And then maybe on the potash business, Nutrien is idling upto 50 plants, I don't believe that affects broken mills, so I'm just running do you have any visibility on, or sort of what are your expectations on potash as it relates to Altius?
Brian Dalton: I think it’ll take a decade or a little longer horizon, the value of those royalties, we were more than the market cap of the company. The short-term, really what happened this year is that there was a poor planting season. Potash couldn't get deployed, couldn't get a put on the ground, inventories built up. And accordingly, the operators are idling production a little bit in the fourth quarter just to get things, get their inventory levels back in balance. But the offset to that is that the poor planting season has caused prices for most of the crops to shoot up and inventories for food have come down. So if you look at the commentary from the operators, they anticipate a really, really strong planting season next year because we all need to eat. And so, what's lost this year I think comes back to us next year. Well, it would at an abnormally high production year. But again, on the longer term outlook here, this is just, that business is basically, or that industry is basically just chugging along at it's whatever 3% 4% compound growth. And the operations that we have royalties on are so well positioned, they've already put down the capital to grow out capacities. They have excellent margin positions, so nobody is in better position to grow into that demand increase and possibly even to take market share. Again, it's one of those short-term versus long-term things, maybe next year there's a drought and it'll be, we'll be talking about all this again, but at the end of the day we're going to eat and that potash is going to get put on the ground somewhere.
Carey MacRury: That was what I was referring to as that, the plants that are going down, you don't have royalties, are those, those are relatively small royalties for you. So, I'm assuming you have additional volume, broken mill is probably is still plugging ahead full at full speed. I'm just wondering if you are seeing any evidence of that.
Brian Dalton: Yes, for sure. I mean when you look at Nutrien, Nutrien has come out and said that a bulk of their curtailment that they'll do will be Lanigan, Vanscoy and Allan. And if you look at our royalty revenue by mine, you see that those are actually pretty small ones in our structure. So, we're in a really fortunate position that the higher royalty exposures are related to the lower cost mines. And so whenever there's curtailment, obviously the higher levels of or the higher cost operations go down disproportionately. So our expected potash production exposure is not going to go down in direct-line with the amount that Nutrien reduces production, that's the bottom line or there's going to be a much more muted effect at the royalty level. And in fact if price becomes part of the driver, what you see is that volumes don't just come off of the higher cost operations, but they actually go up at the lower cost operations. So we even get a, we get a benefit sometimes because prices go down, we're really nicely positioned there. But you're right, that's a key point here is that the royalties or the mines that we have low royalty exposure to are the ones that are being mainly impacted.
Ben Lewis: I can, this is Ben, Carey. I can add a little bit to it. We haven't seen any change yet. And if we, if they do everything they say they're going to do without any of the positive impacts, Brian talked about it's, a couple 100,000 it was pretty muted on our revenue line. 
CareyMacRury: Right. And then to be on iron or iron ore has come off pretty, pretty higher than the last while. I'm just wondering a, what your thoughts are on iron ore right now and is that an area you think you could add to just given the downturn?
Brian Dalton: I had a chat the other day, just a friendly chat with Michael O'Keeffe of Champion and we both noted that if you'd told us 18 months ago that we'd be looking at $90 plus 65 plus iron ore that we'd have been dancing in the streets. That's exactly what we're at. So yes, it has come down, but from, exceptional short term pies, there is a few pretty neat things I guess that happened during the quarter with regards to IOC and iron ore that we're watching. One is that they've decided to not be sellers of the asset. I think that's important for us because it removes a big uncertainty around what a new owner might have done with regards to, capital investment, those sorts of things. And what that could've done for the dividend. But maybe more importantly is the fact that Rio Australia operations are having to sell a portion of their production these days at below – there's a portion of our production that's below average spec and they're getting a heavy discount for it. And so they've now started to openly talk about using IOC and it's super high grade and high quality production as a blend stock to improve the quality of the sales price for some of that off-spec stuff in Australia. I think that's really, I guess a really big thing. I think that that is a true proving of a thesis for us that high quality assets are becoming more important as the overall increment of global production quality deteriorates. So there's trends within trends. I think that one for us is far more important than, what the benchmark price is doing in the short-term. I think it's place in the world is only becoming more enshrined and yes, we're pretty bullish on it. Is it a buying opportunity? Let me put it this way. On an annualized basis right now we're running at, I think our cost base is somewhere around $18. So we're running an after tax, a yield on that investment right now. Well North of 20%. So, if you think $90, 62 or 65% iron ore is a reasonable price or anything even close to it, it looks like a pretty attractive buy. But for us, we are well exposed. We do have a nice sized position and just in terms of a, we can't do everything, so our investment focus today is on, is on growing up the renewables business as fast as we can and doing things like buying back shares. So, if we were flushed with excess cash all over the place, I wouldn't hesitate to add more to our holdings. But you know, we're positioned, we bought, at a really good time and, it's working out really nicely for us. So it might've been a bit of an opaque answer here. I'm sorry. I would buy it if we had loads of cash to throw around right now.
Carey MacRury: No, very, very helpful and a thanks and congrats on a great quarter. Thank you
Operator: [Operator Instructions] Your next question comes from the line of [indiscernible]. Your line is open.
Unidentified Analyst: This is a [indiscernible]. Thank you for taking my question. Thank you for your project generation update release last month. Are any of those projects looking like they might produce and have revenue in the next five years? And could you just review, the market value of your ownership in each of those stocks and early participations?
Brian Dalton: I might need a little bit of help on that from the team here. So I'll talk randomly for a second while somebody puts the right numbers in front of me. I think there's several mines within that portfolio to be honest with you. That's obviously a very forward looking speculative statement. But, we, what I like about what's going on in that portfolio is that there's a crazy amount of money being spent in drilling occurring all at no cost to us. There is a flood of being strategic mining companies that are coming in and investing in the companies behind us. So those are both really bullish indicators. I mean, if I had the handicap, which of the projects would become mines, I mean, I guess the easy way is to just look at the ones that have had recent ...
Unidentified Analyst: But it’s also healthier to build.
Brian Dalton: It’s healthier to build, so that's the first one outdoor I mean, Adventus on Curipamba had an excellent PFS result earlier this year and loads of upside sitting there in terms of explorations. Sigma’s project, the lithium project in Argentina, that's really coming along PEA numbers, quite good and great partners coming in, strategic partners coming on and define things there. Allegiance in British Columbia brought on another big strategic partner. Again, it's just really, you know yourself, it's hard to pick these things, but it's nice to see these very sophisticated investors coming in and backing these stories and endorsing what the work that these juniors are doing, and then just lending strength and credibility to the efforts going forward. There's another one as well that we're, it's hard to get any information on, but if the rumors are true, it's a real winner. And that's Silicon project Renaissance in Nevada that Anglo American or AngloGold has joint ventured. Again, hard to get accurate information, not flowing openly out of Anglo as much as we would like at this point. But again, on the ground, there does seem to be some really good signs there. So, and you know what, it'll probably be one I haven't thought about here. That'll be the next one, nature of the beast. On our ownership levels, I pointed to the website, I guess, cause we do actually publish a table quarterly that reflects any adjustments that we've made to various holdings and tells you if we own meaningful positions.
Unidentified Analyst: Thank you.
Brian Dalton: Thank you for the questions.
Operator: There are no further questions at this time. I turn the call back over to the presenters.
Flora Wood: Thank you Marcella and like to thank everybody for dialing in and for the great questions and we'll look forward to speaking to you when we have our year-end results.
Brian Dalton: Thanks everyone.
Operator: This concludes today's conference call. You may now disconnect.